Operator: Welcome to Evolution Q4 Report 2025 presentation. [Operator Instructions] Now I will hand the conference over to the speakers CEO, Martin Carlesund; and CFO, Joakim Andersson. Please go ahead.
Martin Carlesund: Good morning, everyone. Welcome to the presentation of Evolution's year-end report for 2025. My name is Martin Carlesund, and I'm the CEO of Evolution. With me, I have our CFO, Joakim Andersson. As always, I will start with some comments on our performance and then hand over to Joakim for a closer look at our financials. After that, I will conclude with an outlook and then we will open up for your questions. Next slide, please. So let's start with the financial and operational highlights in the quarter. Overall, we saw somewhat better performance in Q4 compared to Q3. The net revenues came in at EUR 540 million, corresponding to quarter-on-quarter growth of 1.4%, but a year-on-year decline of 3.7%. Adjusted EBITDA amounted to EUR 341.5 million, giving a margin of 66.4%. Asia turned back to modest growth quarter-on-quarter, signaling some progress in our hard work to battle the cyber criminality in the region. As pointed out several times before, there is no quick fix to these issues. We constantly adapt and develop our technical solutions to win in the long run. We believe that it's harder to steal our content today than it was a year ago. Latin America, North America and Africa also showed growth, whereas Europe declined both on a year-on-year and quarter-on-quarter basis. Our Live revenue declined by 4.5% to EUR 438.6 million while R&D increased by 1.7% to EUR 75.7 million. I believe our slot brands have great potential ahead. Live is currently affected by both Europe and Asia, while North America and Latin America continued to do well. In the U.S., we believe Live will continue to grow its share of the total online market. And in the quarter, we launched Ezugi as the second brand in New Jersey. Talking more about games. Our headline title for 2025, Ice Fishing, is gaining in popularity following its launch this summer. More and more players enjoy the fast pace and highly entertaining format. We have actually seen a doubling over the last 3 months. It's trending on social media and at times, it has been close to player numbers that we've seen in crazy time; amazing. And speaking about speed, the quarter also saw the launch of Red Baron, our third crash game that is simple and fun both for veterans and beginners. Operators and players love it and the numbers are steadily increasing. Since this year, this is an end-year format report, let us also quickly zoom out and look at financials for the full year. Net revenues were almost flat with an increase of 0.2% to EUR 2,067 million. Adjusted EBITDA decreased by 3.2% to EUR 1,366 million, giving a margin of 66.1%, which is just within the communicated range of 66% to 68% for the year. To conclude the slide, looking at both the quarter and full year, operationally, I believe we did great. The financial outcome could have been better, but given the many challenges that we have faced, we still managed to defend our revenue and deliver solid margin together with a very strong cash flow. We always want to do better, and we look forward to continuing our hard work in 2026. Despite what happens around us, it's vital that we stay ahead of the game and increase the gap to competition through expansion and innovation. I'm fully convinced that we have succeeded in that 2025 and even more convinced that we will do it also in 2026. Two weeks ago, we added Ice in Barcelona and our road map for the year is breathtaking. I will get back to that later. Next slide, please. If we then move on to our operational KPIs. First, consisting of headcount and Game Round Index. On headcount, we are growing by 5.8% on a year-on-year basis and 3.8% on quarter-on-quarter. And we now see a better, more cost-effective distribution of all delivery. The Game Round Index can be seen as a general indicator of activity throughout our network over time. For an individual quarter, it can vary a lot and does not always correlate with the revenue development. In the second half of the year, activity went down somewhat connected to our measures in both Europe and Asia. But if you look at 2025 versus 2024, we actually saw a slight uptick of 1.8% for the full year. Next slide, please. As this year -- as this is end year report, we also have yearly KPIs on the customer dependency and a number of tables within Live. Currently, we have about 870 customers, a number that has gone up during the year, mostly linked to the new relationships and operators in Brazil. We have decreased dependency on the 5 largest customers from 46% revenues in 2024 to 39% in 2025. The largest customer represents about 12% of revenues. The number of tables have increased by 300 during the year, linked to new studio openings in Brazil, the Philippines, Romania and the U.S. The resource mix have been improving during 2025, and we look forward to further improvements in 2026 and also better supply to market. We will continue to expand in 2026 among else with a new studio in Michigan. Next slide, please. In this report, we're introducing a real breakdown of our revenues based on our customers' location. The absolute majority of our customers is based in Europe, followed by North America and Latin America. All of our revenue is regulated as a basic requirement to become a customer with Evolution is to hold a license from an approved regulator. You also see revenue split based on our customers and their players, our customers' customer, which is an estimation based on the IP number of players received from our customers. This is the breakdown of revenue we have included in historic reports connected to our customers' players IP addresses, about 47% of the revenue estimate is regulated. Next slide, please. I will now give a few comments on each of the major regions based on the estimation of revenue based on our customers' customers IP number. As highlighted in the beginning, Europe declined quarter-on-quarter. We believe that we currently have the stringiest -- most strict ring-fencing measures among all providers in Europe; and in some markets, we see that players turn to unlicensed operators instead of the official channel -- and instead of the regulated and the channelization declined significantly. The current challenge is not the actual ring-fencing, but instead the channelization decline in some major countries as a result of regulatory measures. Simply put, the players are by the regulation pushed out of the regulated limit and are to a larger extent playing on unregulated operators that we don't accept. This is bad for the industry and pushing out the most vulnerable players, but long-term, we believe that the regulatory scale will find its balance again. If looking beyond short-term performance, we see that players shift more and more towards game shows. And with the best road map ever in 2026, aiming at exactly these type of entertaining games rocket [ fueled by asper ] brands, I really look forward to the development in 2026. Speaking about Europe, we can note that we haven't heard anything from U.K. Gaming Commission since last summer in relation to their investigation. We don't know when they will come back, but have been very cooperative, and as already stated, have very strict ring-fencing measures in place since very early last year. For Asia, I've already said that we have made some progress in the cyber crime mitigation. The overall regulatory dynamics continue to be somewhat challenging, but at the same time, we see good development in the Philippines where the regulatory framework is getting more stable. Next slide, please. North America and Latin America both reported all-time high in terms of revenues. Growth-wise, North America has been somewhat modest during the year, and the regulation pace is very slow if looking at the U.S. as a whole. But after year-end, we saw some positive development with an iGaming legislation that was passed in May. The potential in existing market also remains strong as Live Casino share has a lot of potential. I already mentioned that the launch of Ezugi as our second Live brand in Italy and New Jersey. Speaking about U.S., we are still working to get the necessary regulatory approvals to complete acquisition of Galaxy, only 2 states remain where Nevada is one. Nevada recently announced a guideline for licenses that operate in online gaming in other jurisdictions, and I have seen some speculation that this may cause an issue for us to get the approval. The process is moving forward, and we are still within the time line of closing before 17th of July, and I have no further comments at the time being. Moving on to Latin America, where growth continued to accelerate both year-on-year and quarter-on-quarter. Brazil is driving growth as the new regulation is settling in. During the quarter, we also noted that the main competitor in Live decided to close down operations in Argentina. We have seen this in several parts of the world in the past that despite large resources in -- it's highly complex and expensive to build a Live at scale. Next slide, please. Okay, let's take a step back and look at our global footprint of studios. 2026 marked the 20th anniversary of Evolution. And up until 2013, we operated with only one studio out of Latvia. Fast-forward to today, we have 24 studios with the 4 latest being located in Brazil, the Philippines, Romania and New Jersey. In the very beginning of Evolution's history, it was possible to target several markets from that 1 studio in Latvia, but as regulation has evolved more markets are putting demands on local presence. Even though it requires a larger investment, this is great for Evolution as we have an unrivaled experience in building studios with very short lead times. It's a know-how that provides us with a competitive advantage, raises the barriers to success for others and also speaks to regulators that we can quickly set up operation and offer job opportunities in their local markets. Another aspect of the scale of evolution is that our students are connected in STAR network, and we can use a direct usage independently, creating scalability over all time zones. Next slide, please. I already mentioned the breathtaking road map 2026. As you remember, last year, we entered an exclusive partnership with Hasbro for online live casino and slot games for MONOPOLY and other Hasbro game titles. It's an exclusive worldwide deal that covers online content for all our brands in Live and RNG, a true milestone that will enable us to bring fantastic games to our players. Two weeks ago, we showcased some of the titles that we will launch during this year at ICE, which is the industry's largest yearly exhibition. Normally, we state that we have one big showcase title, like Ice Fishing last year. But this year, it is impossible to pick one. That's how strong the lineup is. Let me just mention a few highlights from 2026, and let's start with Game Night, which will be the largest game show to date and a feast of bonus games based on Hasbro favorites such as Connect 4 and Hungry Hungry Hippos. It will use the largest money really in the whole world, but instead of a flatbed will have a roulette-style bouncing ball and a wheel that is set at 45-degrees angle. The wheel itself is enormous but so are the Hippos. [ Fun enough, ] it will only be the biggest game show for a few months because later in the year, we will launch MONOPOLY Filthy Rich. This will be a gigantic Hollywood-style game show in a studio that would make any moviemakers jealous. With 5 exciting bonus game rounds on MONOPOLY features plus a super bonus MONOPOLY World. Also based on MONOPOLY is MONOPOLY Roulette, which will be the only roulette with 2 bonus of games and the MONOPOLY rolling a 2-dice game with a MONOPOLY-style board. We will also launch several new MONOPOLY titles within RNG universe. The first one being MONOPOLY Deluxe from BTG that is already live. In addition to the Hasbro titles, we will launch many other games that will appeal to both traditional players and others, DRAGON DRAGON which might be the coolest name ever on the game, is a simple, fast-paced guessing game will play that on -- where the 2 coins would be yellow, red or both. In Always 6 BLACKJACK, the dealer card is always 6, which provides more predictable game. From Ezugi, we have [indiscernible] which is a unique alternative to the classic roulette using a classic claw machine as a very nice piece of engineering, by the way. In total, we have more than 110 new games and RNG releases plan for the year, and I could not be more excited. Our CPO, Todd Haushalter, described this year's roadmap as all about fun, fun, fun and that is exactly what it is. 2026 will increase to get to any competitor more than ever, but more importantly, we are creating great entertainment for every single player. And with that, I will hand over to Joakim for a closer look at our financials. Next slide, please.
Joakim Andersson: Excellent, Martin. Thank you. So let's now spend a few minutes on the financial details. I'm now on Slide 10, and we'll repeat a few messages that Martin opened up with. Well, on this slide, see our revenue and adjusted EBITDA development over time. The full year 2025 has seen a flat revenue development whilst the quarter-by-quarter trajectory shows a somewhat uneven trend. In the fourth quarter, we are reporting EUR 514 million of revenues, EUR 341.5 million in adjusted EBITDA and consequently, a 66.4% margin. As Martin said, with this quarter, we are ending up at 66.1% in EBITDA margin for the full year of 2025, which is within our margin guidance. Let's go to the next slide. On this side, we will have a more detailed look at our profit and loss statement. I have highlighted a few key takeaways on this slide, and I will comment on them one by one. So first, and again, net revenues of EUR 514 million. In this quarter, we have EUR 51.7 million of other operating revenues, which is due to a reduction of an earn-out liability. This is the only amount we are adjusting for when we talk about our adjusted EBITDA and adjusted EBITDA margin. As you can see and as I have highlighted on the slide, we had similar adjustments also in Q3 and Q4 2024. Moving on to the second highlight. Total operating expenses amounted to EUR 215 million, which is 6.3% higher than Q4 last year and up 2.1% quarter-on-quarter. Despite costs being slightly higher quarter-on-quarter, we are beginning to see the benefits of our initiatives to drive operational efficiency. Several initiatives are ongoing when it comes to optimization of our tables and studios as well as the way we work with our supporting functions. What is important to note is that this is not a one-off cost-cutting project, but something that we will work with continuously. If we then move to the third highlight. It's our profit for the period that amounted to EUR 306.8 million in the quarter. And for the full year, we had a profit of EUR 1.06 billion. Finally, our earnings per share EPS after dilution amounted to EUR 1.54. Let's move on to the next slide, where I'm going to show you the development of our cash flow. First, on our left-hand side, we have our operating cash flow after investments, which amounted to EUR 262 million in the quarter. One factor behind the relatively low cash flow this quarter was the seasonally weak working capital. While elevated year-end accounts receivable is a recurring pattern, we are actively addressing it, and we have seen good progress in January. The graph shows that in-year fluctuations are not unusual. However, the overall more uneven performance on top line in 2025 has driven greater volatility in our cash flow this year. Cash conversion remained solid and was at 82% for the fourth quarter. Then turning over to the other graph and our capital expenditures, we can see that we are slightly up quarter-on-quarter with a total CapEx relating to tangible and intangible assets of EUR 38.5 million. That also means that total CapEx for the year was EUR 134.8 million. Next slide, please. On this page, you will find a summary of the balance sheet for 2025 compared to what it looked like at the end of 2024. The main items that I usually highlight, which are all signs of our financial strength or the value of the bond portfolio of EUR 104 million. Our total cash balance that amounted to EUR 818 million and equity position that at the end of the year amounted to almost EUR 4.1 billion. Although a minor point, as mentioned earlier during the P&L review, we have made an adjustment to our earn-out liabilities. Consequently, the other liabilities category on the balance sheet shows a slight quarter-on-quarter adjustment. We continued with the buybacks in the fourth quarter. And in total, we invested EUR 93.7 million and bought back 1.6 million shares. In total, we invested EUR 500.2 million in 2025 and got 7.3 million Evolution shares, which today corresponds to 3.6% of the company. And when talking about buybacks, we wanted to highlight what the total shareholder remuneration has looked like over the last years. On this slide, you will see dividend payments in blue boxes and buybacks in green boxes. There are a few takeaways from this slide, but I would like to point you to 2 of them. Firstly, as illustrated by the gray bar to the right, we have returned more than EUR 3.5 billion to our shareholders since 2020. Secondly, during 2025 alone, total shareholder remuneration amounted to almost EUR 1.1 billion, which equates to a yield of 9.3% based on the market cap at year-end. With that remark, I will hand it back to Martin.
Martin Carlesund: Thank you, Joakim. So let's summarize and then move on to the Q&A. Operationally, it was a good quarter and year, maybe the best ever. We increased efficiency, maintained margin, delivered fantastic games, we continued to expand our footprint just as we should. We have also handled many challenges always standing up for what we believe in, always trying to do the right thing. The situation we have been up -- put up against and are still handling are not something any company could do, especially not while also being able to maintain revenues, deliver both a solid margin and an excellent cash flow. It shows what a fantastic management team we have with the right values as well as the thousands of experts and young talents across the global build Evolution to the strong company that we are. I would like to send my sincere thank you to each and every one of those. And speaking about the excellent cash flow, I would also mention that the Board will decide and announce its recommendation regarding capital allocation for 2025 earnings later this quarter. All in all, we are in spite of the financial development, proud of 2025. But with that said, we want to do more 2026. We will deliver absolutely fabulous product road map 2026. Expansion will be at full speed in the U.S. and LatAm, while we continue to invest in Europe and at the same time, deliver margin in line with 2025, meaning 66%. I really look forward to the rest of 2026. Now thank you for listening, and we will open up for questions. On the Q&A slide, you will also find a link that takes you to a video, almost like an early Easter egg with a sneak peak of the amazing road map that you can watch after the call. Please click it and have fun. Next slide, please, and then we'll open for questions.
Operator: [Operator Instructions] The next question comes from Ed Young from Morgan Stanley.
Edward Young: I've 3 questions, please. First of all, on the new games, I think for anyone who went to ICE or seen the road map, the opportunity going to see as seems almost obvious with the Hasbro releases. But for 2025, you discussed being really happy with the operational performance that obviously wasn't matched financially. What would it take in '26 for the progress on the content and operational side to be more matched in the financial performance? The second question is, if I'm okay to ask them together...
Martin Carlesund: My memory is very, very good, but short. So now to deliver on in 2026, just a stable environment. If we just could have a stable environment, solve a little bit continuously meticulously get a little bit better in Asia that's it. No more, no less.
Edward Young: Okay. There was a sequential decline quarter-on-quarter in Europe. Could you perhaps give us a bit more color? Obviously, as you mentioned, ring-fencing measures went in early last year. Was there any particular extra regulatory development or change? Or are you seeing any underlying change at a customer level or in the markets that can help explain that? How should we think about sequential European growth as we head into 2026?
Martin Carlesund: We're not happy with the quarter in Europe. There are a lot of effects on the regulatory measures and the instability of the market. And some countries are not developing according to what we want. So it was not a good quarter. The overall situation in Europe, where the channelization now drops to 50% level in certain countries or some countries which are good, that affects us. We only target 50% of the market. And the regulation is not balanced right now. So players are pushed out of the regulatory limits. So that affects us. So the total situation in Europe wasn't good in the quarter.
Edward Young: Okay. Finally, could you give us an insight of why you've given this new geographic disclosure? What's the message you're giving us?
Martin Carlesund: It's not too much smoke signals. It's -- there's a lot of focus on regulatory aspects where players are coming from and so on. And we feel that it's important now to disclose and show this is our revenue, this is our customers, this is where our customers are, then the geographical split of revenues that our customers provided IP adders of their players. And it felt like it was time to disclose that and show that to you -- to put a little bit of emphasis on that.
Operator: The next question comes from Georg Attling from Pareto Securities.
Georg Attling: I'll just start with what you alluded to in Nevada. So the direct question is really if you think there is a need for further ring-fencing to complete this Galaxy acquisition?
Martin Carlesund: We are progressing with the Galaxy acquisition. The Galaxy acquisition is not large enough to affect our business model in general. So we are moving forward according to the business model that we have.
Georg Attling: Okay. Second question on the CapEx here in 2026, how should we think about this given, you gave no guidance? Is it in line with 25% or a ramp-up from that base?
Martin Carlesund: We will get back on it. It's just a couple of weeks. It would be well in time for the AGM. So we look forward to disclose a good capital allocation policy and action for 2025 figures quite soon.
Georg Attling: Okay. And then just a final question on Asia. I mean it's been very choppy here in the last 3 quarters. What's your view on the underlying development in trying to combat the cybersecurity problems? Has it been stable since the last 3, 4 quarters? Or is it really an underlying improvement here in Q4?
Martin Carlesund: The market development issue has been also shocking a little bit some countries and it's not been super stable, but still good. I mean we had a not-so-good quarter 3, and now we're slowly taking back a little bit. We're happy with that movement, and we're doing a little bit of action; slowly, slowly getting to turn for the cyber criminality and hoping to see better development, of course, forward. But we don't know exactly when that will happen.
Georg Attling: Yes. And when you look into '26 in Asia, do you see that this will largely be resolved or will it take longer than that?
Martin Carlesund: I can't guide you on that. We are working day and night to find ways to do it. It's a very complex environment and someone is really stealing our product and we do what we can. And I know that there are others that experience the same thing. So we will see how and how fast we can resolve this.
Operator: The next question comes from Martin Arnell from DNB Carnegie.
Martin Arnell: My first question is on the situation in Europe. You said it wasn't good in the quarter, and we saw that. But is it anything that suggests that it will or could improve in the coming quarters here?
Martin Carlesund: I think we can do better than what we did now. That's a little bit the same as I answered to add like what do you need to do better? A little bit stable environment, then it will look really good.
Martin Arnell: So it's also in your hands and not only sort of in how the regulatory markets are working or...
Martin Carlesund: You can always do better. I mean even if we would have a growth of 50% in the quarter for -- and you would ask me, we can always do a little bit more. Now adding the games that we have on the road map will, of course, make a difference and I look forward to do that. So there's more to do always. But the baseline is that a little bit stable environment would be -- that would be very nice.
Martin Arnell: And on that topic, what's been the reception so far when you conclude from ICE in Barcelona, for example, on the new MONOPOLY games among your big customer network?
Martin Carlesund: They are flat, I guess. I don't know to find -- they are everyone -- there's no -- everyone looks at the games and like, "Wow, when are we going to get them?" Everyone looks at the games like there is nothing in comparison, there is no one else doing anything else that is even remotely doing what we do. So when they look at our road map, they are like, "Oh, when can we have it?"
Martin Arnell: Sounds interesting. And when is the first game launch? Is that April on the MONOPOLY, 1 of the 33?
Martin Carlesund: We will release a couple of games now with RNG. As you saw, MONOPOLY Deluxe is already out. It will come. And we are eager to do it as soon as possible. But Q1, Q2, a couple of games and then throughout the year.
Martin Arnell: Final question for me. There was a lot of discussions on AI at Barcelona and ICE, and how could that impact live casino? Can you clarify your view on that?
Martin Carlesund: I think AI is a great opportunity. I think that we will use AI. We will probably have a product with a virtual dealer just like we have first persons, which are games that are top of the line best in the world. Then I think that, as I stated before, AI is -- 2026, maybe up until 2030, the best support tool there are, you will give a person meeting another person, all the information that they need to have on how to handle it and all the customer information or whatever it is. I don't think that you or me would like to have an AI bot answering the questions or doing that all the time. Many times, we still want the human interaction. And the development with TikTok and that type of videos is going in the other direction. So we have to do it. It will happen. It will be there. There will be an AI dealer doing it, and it will be absolutely smashingly beautiful, but real life, real physical events will still be there for the years to come.
Operator: The next question comes from Monique Pollard from Citi.
Monique Pollard: The first question was just on the EBITDA margin. So that's come in at 66.1, obviously, for the year. So the low end of the guided range of 66 to 68. And then obviously, 2026, you said similar to the 66.1, you achieved in the 2025. I'm just trying to understand, if over time, there's been a bit of a shift, obviously, in where the studio capacity and studio locations are and whether that is putting upward pressure -- sorry, downward pressure on the margins or whether it's just a lack of being able to scale the top line because the top line has been coming in slightly weaker than expected?
Martin Carlesund: It's a good question. I would answer it like there's always ifs and buts. But if we wouldn't have ring-fenced, you would have seen a much higher margin. Of course, we simply would have had higher volume on the same capacity. If we wouldn't have had a situation where we actually took down the delivery out of some studios due to the strike recently and then moved it around, we would have had a higher margin. So it's a combination that now the resource mix is much better, and we're slowly getting back to the right capacity. And of course, if we would have had a little bit more revenue, it would have fell through and the incremental margin would have been good on that revenue. So it's a little bit of both.
Joakim Andersson: Yes, I can maybe add. And it's also, I mean, a little bit in the future because when new countries or regions open up with new regulation, then it's very much up to that regulation and the kind of rules for the regulation and the rules to operate and with local studios, et cetera, which always will have then -- of course, will have an impact on the margin going forward. But that's difficult to speculate on.
Monique Pollard: Understood. And then the second question was, you mentioned, obviously, the working capital, it's seasonally weaker, but also there was this sort of issue with the accounts receivable, but that you're having some good progress with that in January. Could you talk us through sort of what you're doing there to try and sort of combat that rising accounts receivable?
Joakim Andersson: Yes, Monique, what I meant, I mean, the seasonally weak AR is due to year-end Christmas holidays and breaks. I think it's a very common theme. I think that we also -- I mean, as a big company, strong financials, maybe we -- customers are a little bit taking advantage of that and then using us as a little bit of a bank over year-end to polish their working capital. So I think that's the main reason for why we saw the buildup in December. Then I mean, naturally, in January, we follow up on everything where it's outstanding. Customers have -- we've seen a lot of customers paying because of the fact that we have past year-end. So nothing, no drama, although the numbers were a little bit higher maybe than expected and no drama and then we see the swing back on working capital now.
Monique Pollard: Okay. That's clear. And then I had a question just on Europe. Obviously, you've mentioned, do you think you now have the strongest ring-fencing measures in place amongst the suppliers. I just wanted to understand whether you had progressively ring-fenced any more market during 4Q in Europe or whether the markets that you ring-fenced back in February with the same that have been ring-fenced out. I didn't know if there had been any progression on your part in terms of what you were doing?
Martin Carlesund: No, it's about the same. There is no big difference. I think that the channelization is one challenge and a little bit instability in general and the market is one challenge during the quarter. And we look forward to get a more stable environment in 2026.
Monique Pollard: Excellent. And my final question was just on the RNG growth rate. Obviously, that slowed slightly in the fourth quarter after a stronger 3Q. I just wondered whether you think either the road map of product that you've got coming in for RNG in 1Q or other things could sort of help reaccelerate that growth rate as we go through 2026?
Martin Carlesund: I think we can do even -- we can do more in RNG, yes. And I think that, for sure, MONOPOLY, but also our own brands will help a lot.
Operator: The next question comes from Ben Shelley from UBS.
Benjamin Shelley: So firstly, in the release, you spoke about a primary focus on the U.S. and Latin America. Can you expand a bit on this, please? And is there a shift in the strategic focus here that we should be aware of?
Martin Carlesund: No, there is no shift in the strategic focus. All markets are equally important and we continue doing exactly. So there's no shift. It's just that in the coming period, we have quite a lot of things happening in the U.S. We're launching Ezugi, and we're expanding in Latin America. So they come out as first where we are doing it. And then as I stated several times, we offer a little bit more stable environment. And then, of course, we continue to invest in Europe, but not as much because we don't need that in the same way.
Benjamin Shelley: Very clear. And then just on the U.K. Gambling Commission. I know you still haven't heard anything, but it looks like you have changed your wording slightly in your release regarding the review. Does that reflect the change in your expected outcome?
Martin Carlesund: I don't know anything about outcome more than what I knew before. No, actually no. No, no intentional change in wording. It's just that months passes, and I don't know what to make after that. We're patiently waiting, and we're doing what we are doing. And we have some ring-fencing since the beginning of last year. We'll see. No intentional change.
Benjamin Shelley: And then in your release -- in your last release at Q3, you spoke about volatility in the Philippines and India. Obviously, Asia has grown quarter-on-quarter. Is it right to think that these markets have stabilized now?
Martin Carlesund: Philippines, more stable, yes. India more stable, yes.
Operator: The next question comes from Andrew Tam from Rothschild & Co Redburn.
Andrew Tam: Just 2 for me. First one, just a segue for Ben's question on India. Given the Nevada industry guidance and India being on that list as one of the 10 countries, are you planning to stop operations there given your commitment to the Galaxy acquisition?
Martin Carlesund: We are not planning to change the business model as of now due to the Galaxy acquisition, as I said before. We will look into the policy and see what comes out of that and no decisions in that direction.
Andrew Tam: Understood. My second question, just trying to assess. It looks like Russia is considering regulating online casino. Will you be applying for a suppliers' license there or are you planning on stopping supply into the Russian market until that legalizes given the Nevada guidance?
Martin Carlesund: We are not. There is a lot of rumors and Putin says one thing or other, I would just spontaneously see it's very difficult to apply for license there, but let's see whatever happens in the world.
Operator: The next question comes from Rasmus Engberg from Kepler Cheuvreux.
Rasmus Engberg: Just a little bit confused with Europe. Throughout your reported history, Q4 has never been weaker than Q3. And now it is, and it's quite materially weaker. I'm just trying to understand, is there anything you can do to help us understand why that happened? Is it a new level going into 2026? Or are there some sort of one-offs in Q4 that we should adjust for?
Martin Carlesund: I can't say that there is any material one-offs that I can give and state that it's a bad quarter, and there is a number of different aspects in the markets. There is no difference in our performance or the way that we act or relation to our customers, everything is fine. But the market was not in favor during Q4. That's a fact.
Rasmus Engberg: And considering this, could you update us on the group level, how do you think -- how we should think about activity in Q1 in constant currencies relative to Q4? Is it roughly similar or how does it look seasonally?
Martin Carlesund: If we take online gaming as a global phenomenon, I would say that Q4 is stronger, Q1 is a little bit weaker than Q4, but still a good quarter. But then, of course, you have February with 8% lesser days. I don't know if it's [indiscernible] this year or not. But -- so it's a little bit -- Q1 is okay, but a little bit weaker than Q4 on a global scale.
Rasmus Engberg: And just a final question. You still report much more tax than you pay, so you sort of accumulate that. Is that something you're going to continue to do going forward? How do you look at that from -- it's kind of a global question in a way, but...
Martin Carlesund: It's the pillar 2, and it's really -- if you ask me as CEO, it's a little bit up in the air. So we will see where that falls down eventually. But we, of course, according to pillar 2, deduct for the 15% tax. So that's why it's on the balance sheet. And then there are rules of how and when and whatever that's going to be paid.
Rasmus Engberg: So no change there?
Martin Carlesund: No change.
Operator: The next question comes from Richard Stuber from Deutsche Bank.
Richard Stuber: I mean apologies if you said it right at the very top, but could you give a bit more of an update in terms of the litigation with Playtech and whether you've actually sort of named them as a defendant and when we next here on the next phase of litigation? And similarly, has this impacted any of your sort of commercial discussions with any new or existing clients? And the second question is just you talk about this year, you'll be growing, you think, in line with the sort of general markets in the different regions. Could you just give us an indication what you think the market growth rates are in casino?
Martin Carlesund: There is no real update when it comes to the main litigation, meaning Playtech. It has its due course, it's continuous and it's always slow and it will be with us for a while. There's no material update. So we look forward to move forward with the lawsuit. Customer reactions to the way that our competitors have been acting and the type of companies that they have engaged and the way that they did interviews and whatever else they did with former employees and so on is, of course, shocking for many; exactly what comes out of that, I don't know. But it's shocking. It's not good for the industry. It's not good for anyone, and it's shocking for our customers. When it comes to -- we have, of course -- we want to take market share. We have the best products we're moving forward, and we really want to grow faster than the market. Now the market growth is -- it's very hard. I mean, our figures are public, but many others are not. It's very hard to judge that. And often when we get the market growth, we get it afterwards. So we are a little bit in the dark as you are. Then there are 3i and different various institutes trying to measure it. And they are more often wrong than right. So I don't have that. But once we look at the market growth, we want to be ahead of it. So that's the target.
Operator: The next question comes from Jack Cummings from Berenberg.
Jack Cummings: My first question is just on North America. I think the North America growth you reported is still a bit slower than what we see in terms of the market rate in the relaunch of Ezugi is going to help kind of close that gap? That's the first one. And then the second one, you mentioned in the prepared remarks in the release that you're still going to invest in Europe, but slightly less aggressively. Just wanted to clarify kind of what exactly you mean that less capacity going in, less studio investment, what does less investment in Europe look like?
Martin Carlesund: Okay. Let's start with the end. So less investment, it's like in comparison to other investments. I mean we're going to build a lot of products, new studios. All the Hasbro games that you will see will be built in Europe. So there is a strong investment in the European set, and that will be distributed out there. And we will see to that we cater for all the growth in different markets and adding whatever. But in comparison to, for example, the build up that you see in Brazil, that is stronger. We need to invest more in relative terms in Brazil to build up that market, and we see that ahead, and that goes for U.S. as well. When it comes to Ezugi launch in U.S., we believe that, that is the second option for the players and for the operator, and we believe that we will accelerate the growth with that, of course. We also think that the share of Live now when the market a little bit more mature, will increase. So there's potential in that when it comes to, for example, U.S. and North America. What was the first question? I think that I answered that.
Operator: Thank you for all the questions. It is now time to hand the conference back to the speakers for any closing comments.
Martin Carlesund: Thank you very much for listening and taking your time. It was a pleasure to answer your questions. Now don't forget to click the link. It's a beautiful little film that you can watch and you will be blown away by the fantastic road map 2026. Thank you very much.